Operator: Good day, ladies and gentlemen, and welcome to the Simmons First National Corporation First Quarter Earnings Call and Webcast. [Operator Instructions] I would now like to turn the call over to David Garner. 
David Garner: Good afternoon. I am David Garner, Investor Relations Officer of Simmons First National Corporation. We want to welcome you to our first quarter earnings teleconference and webcast. Joining me today are George Makris, Chief Executive Officer; David Bartlett, Chief Banking Officer; and Bob Fehlman, Chief Financial Officer.
 The purpose of this call is to discuss the information and data provided by the company in our quarterly earnings release issued this morning. We will begin our discussion with prepared comments and then we will entertain questions. We have invited institutional investors and analysts from the investment firms that provide research on our company to participate in the question-and-answer session. All of the guests on this conference call are in a listen-only mode.
 I would remind you of the special cautionary notice regarding forward-looking statements and that certain matters discussed in this presentation may constitute forward-looking statements and may involve certain known and unknown risks, uncertainties and other factors which may cause actual results to be materially different from our current expectations, performance or achievements. Additional information concerning these factors can be found in the closing paragraph of our press release and in our Form 10-K.
 With that said, I'll turn the call over to George Makris. 
George Makris: Thank you, David, and welcome, everyone, to our first quarter conference call. In our press release issued earlier today, Simmons First reported first quarter core earnings of $7.5 million, an increase of 23% compared to the same quarter last year. Diluted core EPS was $0.46, a 24.3% increase quarter-over-quarter. 
 During the quarter, we had non-core after-tax, noninterest expenses of $3.1 million in merger-related and branch rightsizing costs. During the quarter, we completed the system integration and branch consolidation associated with the Metropolitan acquisition. Also during the quarter, we announced the acquisition of Delta Trust & Bank. As a result of these acquisitions, we recognized $700,000 in after-tax merger-related expenses and $2.4 million in branch rightsizing costs. 
 Including these non-core expenses, net income for the first quarter was $4.4 million or $0.27 diluted EPS. On March 31, total assets were $4.4 billion, the combined loan portfolio was $2.3 billion, and stockholders' equity was $407 million. 
 During the first quarter, we increased our quarterly dividend from $0.21 to $0.22 per share. On an annual basis, the $0.88 per share dividend results in return of approximately 2.4%. Over the last 2 years, we have increased our annual dividend by a total of $0.08, or 10%. 
 Net interest income for Q1 2014 was $41.5 million, an increase of $11.5 million or 38.1% compared to Q1 of 2013. This increase was driven by growth in our legacy loan portfolio, earning assets acquired through the Metropolitan transaction, and an increase in accretable yield on acquired loans. 
 Net interest margin for the quarter was 4.54%, a 53-basis-point increase from the same period last year. As discussed in previous conference calls, interest income on acquired loans includes additional yield accretion, recognized as a result of updated estimates of the fair value of the loan pools acquired in our FDIC acquisitions. 
 In Q1, actual cash flows from our acquired loan portfolio exceeded our prior estimates. As a result, we recorded $7.4 million credit mark accretion to interest income. This was a $4.4 million incremental increase in accretion in the same quarter last year, which had a 40-basis-point positive impact on our margin. Total accretable yield recognized during the first quarter was $10.1 million. 
 The increases in expected cash flows also reduced the amount of expected reimbursements under the loss sharing agreements with the FDIC, which were recorded as indemnification assets. The incremental negative impact to noninterest income for Q1 2014 was $4.6 million. Noninterest income for Q1 2014 was $9.2 million, a decrease of $2.1 million or 18.7% compared to the same period last year. The decrease was due to the $4.6 million increase in FDIC indemnification asset amortization. 
 Normalizing for the incremental increase in the indemnification asset amortization, noninterest income for Q1 2014 increased by $2.5 million or 17.7%. The most significant items in noninterest income were the first quarter impact from the Metropolitan acquisition, the acquired deposit accounts primarily created the service charge and fee income increases of $3.5 million. While mortgage lending increased, income decreased by $406,000 compared to last year because of the substantially lower refinancing volumes the entire industry has experienced. 
 Pretax noninterest expense for Q1 2014 was $44.6 million, an increase of $12.6 million compared to the same period in 2013. Included in Q1 2014 noninterest expense were the following major items. Number one, in March, we completed the branch consolidation plan related to Metropolitan acquisition. During the quarter, we recorded branch rightsizing costs of $3.9 million associated with the closure of 11 legacy Simmons branches. Number two, merger-related expense for Metropolitan and Delta Trust acquisitions totaled $1.3 million during Q1 2014. During the same period last year, we recorded $300,000 in merger-related costs for our FDIC-assisted acquisitions. As a result, total merger-related expenses increased by $1 million from last year. 
 Excluding the nonrecurring merger-related costs and branch rightsizing expenses, noninterest expense increased by $7.7 million or 24.4% on a quarter-over-quarter basis, primarily due to incremental operating expenses of the acquired Metropolitan locations. Our combined loan portfolio was $2.3 billion, an increase of $518 million, or 28%, compared to the same period a year ago. 
 On a quarter-over-quarter basis, acquired loans increased by $328 million net of discounts, while our legacy loans increased to $191 million or 12%. The legacy loan growth was driven by $154 million increase in real estate loans and a $41 million increase in commercial loans, partially offset by $5 million decrease in consumer and other loans. 
 When we make a credit decision on an acquired noncovered loan, the outstanding balance migrates from acquired loans to legacy loans. Our Q1 legacy loan growth included $27.4 million in balances that migrated during the quarter. Excluding the acquired loan migration, legacy loans increased by $164 million or 10.3%. 
 We're encouraged by the continued growth in our legacy loan portfolio during the first quarter. The 10% organic growth represents a significant improvement over the last 3 years, and Q1 marks the sixth consecutive quarter with legacy loan growth on a quarter-over-quarter basis. 
 We continue to have good asset quality. As a reminder, acquired assets were recorded at their discounted net present value. Additionally, acquired assets covered by FDIC loss sharing agreements are provided 80% protection against possible losses by the FDIC loss share indemnification. Therefore, all acquired assets are excluded from the computation of the asset quality ratios for our legacy loan portfolio. It is important to remember that acquired noncovered loans are protected by a credit mark, and the acquired covered loans are protected by a credit mark and 80% loss coverage by the FDIC. 
 At March 31st, the allowance for loan losses was $27 million, and the loan credit mark was $96.5 million, for a total of $123.5 million of coverage. This equates to a total coverage ratio of 5% of gross loans. The allowance for loan losses equaled 1.52% of total loans and approximately 216% of nonperforming loans. Nonperforming loans as a percent of total loans were 70 basis points. 
 At March 31st, nonperforming assets were $70 million, a decrease of $4.1 million from the prior quarter. The annualized net charge-off ratio was 32 basis points for the quarter. Excluding credit cards, the annualized net charge-off ratio was 22 basis points. 
 Our Credit Card portfolio continues to compare very favorably to the industry. Our annualized net credit card charge-offs to loans was only 1.20% for Q1. Our loss ratio continues to be nearly 200 basis points below the Federal Reserve's most recently published credit card charge-off industry average of 3.13%. 
 For Q1, the provision for loan losses was $908,000, down $176,000 compared to the previous quarter and $11,000 lower than the first quarter of 2013. 
 We were still on schedule with our previously announced charter consolidation. We will merge and consolidate 3 of our subsidiary banks and the Simmons First National Bank during May, and the remaining 3 banks in August. We'll also remain confident that the Delta Trust & Bank merger will be completed during July of 2014. 
 In closing, we remind our listeners that Simmons First experiences seasonality in our quarterly earnings due to our agricultural and credit card portfolio lending. For instance, on a quarter-over-quarter basis, credit card and agri loans were up $8.4 million and $5 million, respectively, nice growth on an annual basis. However, on a linked-quarter basis, we experienced seasonal decreases of $13.6 million and $26.7 million in these portfolios. Quarterly estimates should always reflect this seasonality. 
 This concludes our prepared comments, and we would like to now open the phone lines for questions from our analysts and institutional investors. Let me ask the operator to come back on the line, and once again, explain how to queue in for questions. 
Operator: [Operator Instructions] The first question comes from Matt Olney from Stephens. 
Matt Olney: George, you mentioned the charter consolidation in your prepared remarks, can you highlight for us what type of savings you're anticipating in from that consolidation, and over what time period? 
George Makris: Matt, we think that by the fourth quarter, we ought to be at an annual run rate of about $1 million after-tax. But there's still some issues that we haven't quite, I won't say resolved, but we haven't concluded yet based on the Delta conversion, which we expect to happen in the fourth quarter. But just -- if nothing else changes, we expect $1 million after-tax on an annual run rate. 
Matt Olney: Okay. And then, just looking at expenses overall, it looks like you guys made a lot of progress in the first quarter on Metropolitan. Can you give us an update of where you are on that initiative compared to original expectations and where you want to be? And do you still expect the clean EPS run rate for Metropolitan by the third quarter? 
George Makris: I didn't hear the last part of that question. 
David Garner: You expected a clean run rate on issuers? 
George Makris: Sure, Matt. We completed the conversion and the branch consolidation and the branch closures on March 21st. So the first quarter includes a full quarter of expenses of operating all of those branches. As you saw in our release, we had over $3 million in branch closure expense due to the 11 Simmons legacy branches that we have closed as part of that consolidation. Beginning in the second quarter, we ought to see a further reduction of approximately $2 million a quarter based on that consolidation and conversion of the Metropolitan franchise. And we think that, that will be pretty steady going forward. 
Unknown Executive: May not be fully into the set in Q2, but Q3 going forward. 
Matt Olney: And how does that compare to the original expectations on the cost savings? 
George Makris: Well, I would say it's probably a little higher than the total of 35%, which was in our original projection. But somewhere between 35% and 40%. 
Matt Olney: Okay. And switching gears. It seems like a year or so ago, the company announced a corporate goal of achieving that 1% ROA. And since then, you guys have announced a few acquisitions. Can you talk about the challenge today in reaching that 1% ROA goal and what's a reasonable timeframe for you guys to achieve this? 
George Makris: Matt, we expect that after the Delta conversion, which we anticipate to happen in October, we will be at 1% or higher ROA on an annualized basis. So that's our goal, and we think that, that is -- these guys are going to kill me when I say easily achievable, but we think that's a very realistic timeframe to get that 1% ROA. 
Operator: The next question comes from Brian Zabora from KBW. 
Brian Zabora: A question on the legacy loans, I guess the acquired loan portfolio. You talked about how you make a credit decision and then the loan kind of moves buckets. Was there a lot of those loans kind of early in this quarter since you've had it, or maybe just 1 quarter of Metropolitan? And is that slow? Or can you just talk about kind of the pace at what you may see as loans moving those 2 -- from those 2 buckets? 
George Makris: Brian, we had, I think, $27 million and some change in the first quarter, where we had renewals and we made a new credit decision on Metropolitan loans. That will probably continue for the rest of the year at about that pace. 
Unknown Executive: At an even pace. 
George Makris: So just depends on when that renewal time comes up and whom we have an opportunity to make a new credit decision. And you know, when it goes into our legacy loan portfolio, it goes into our loan loss calculation, so we will be adjusting our loan loss reserve based on that migration from acquired loans into our legacy portfolio. Now, the FDIC loans are a little bit of a different animal. They don't migrate nearly as quickly because of our accountability to the FDIC and loss share coverage. So that could be over a protracted period of time and not nearly as quickly as these acquired loans through Metropolitan. 
Brian Zabora: Sure, sure. And then on the margin, maybe just the outlook for the year? Do you think it's maybe stable from here? Or just any thoughts around the margin? 
George Makris: Well, I would tell you on the margin, first quarter remember, due to seasonality, we're going to be at about [ph] those level with the agri portfolio paying down and also on our credit card. So we're at about 4.50%, I would say, on a high end. When we hit Q3 this year, we'll probably be in the 4.65% range. So somewhere in that 4.60% range for the balance of the year is what I'd expect. Again, this would be our low point of the year with the Metropolitan -- I mean, the seasonality. I would also tell you, if we -- in Q4, we reported we had about 100 basis points related to the accretion on the acquired loans, that number is down to about 70 basis points for this quarter. 
Brian Zabora: Okay. And just lastly, can you just talk about -- you closed some of these branches, they've been closed for about a month now. What's been the impact as far as maybe loan balances and deposits? Have you seen maybe impact as far as customer loss from the closure of branches? 
George Makris: I'm going to let David Bartlett give you the good news, okay? 
David Bartlett: Okay. Now Brian, that almost feels like a teed up question because -- let me compliment what a great job our lenders and our retail people have done in both Central and Northwest Arkansas. And it ties into the numbers we're seeing in the performance of Metropolitan post conversion, being a part of Simmons First. In Central Arkansas, we've retained about 99% of core deposits. We started out with about $77,000 -- or 77,000 core accounts and $600 million plus of core deposits. And we're still at that 76,000 core account number and about $590 million in core deposits. Northwest Arkansas, prior to the merger, there were about 18,000 core accounts, $128 million in deposits. And we're up to about $134 million deposits and roughly 18,000 in core accounts. So the retention's been strong, the account number of dollars has been strong as well. So people are really doing a good job in working and retaining those core balances. Loans are doing the same thing for us. We're seeing very good retention of loan customers as well. 
Operator: [Operator Instructions] Your next question comes from Kyle Oliver from Raymond James. 
Kyle Oliver: I understand the seasonality in the loan portfolio with agriculture and the credit card loans, but I was just wondering which markets in and in which categories you were seeing the strongest growth? I mean, obviously, it looks like construction and commercial are strong, but is it widespread or is it a bit more concentrated in a few markets? 
George Makris: Well, I'll say this, Kyle. We experienced loan growth in all almost every market that we measure. And I'll tell in our out-of-state markets, you probably remember that we hired 7 new lenders about June of 2013, in that timeframe. Our loan balance in our Kansas and Missouri markets was up $85 million over this time last year. Our 6 affiliate banks across the state of Arkansas are up $30 million. Our Central Arkansas presence is up $30 million, so I would tell you that we're experiencing good growth in virtually every market we serve. 
Kyle Oliver: And how are the pipelines looking now? 
George Makris: The pipelines are looking really good. We anticipate the same kind of growth that you're seeing this quarter. 
Operator: [Operator Instructions] And there appear to be no further questions. I would now like to turn the call back over to Mr. Makris. 
George Makris: Thank you very much, and I want appreciate all of you for joining us today. We will look forward to visiting with you after the second quarter. Thanks. Have a good day. 
Operator: Ladies and gentlemen, that does conclude the conference for today. Again, thank you for your participation. You may now disconnect. Have a good day.